Operator: Good afternoon, ladies and gentlemen, and welcome to the Pressure BioSciences Second Quarter 2022 Investor Call and Business Update. [Operator Instructions]
 It is now my pleasure to turn the floor over to your host, Richard Schumacher, President and CEO of Pressure Biosciences. Sir, the floor is yours. 
Richard Schumacher: Thank you, Matthew, and welcome, everybody. Welcome to the second quarter financial review and business update in year 2022, believe it or not. 
 The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which such statements were based. 
 So the agenda today is I'm first happy to welcome back on the call, John Hollister. John, as you will recall, joined us several years ago and then took over as Director of Marketing and Sales a couple of years ago and has a storied background and has been very helpful to me as a sounding board on a number of things since he's been CEO of some small companies and started some companies and was also involved in some multi, multi, multibillion-dollar companies running different marketing programs. 
 So John, welcome back. 
John Hollister: Appreciate it. Excited to be here and to talk to the shareholders. 
Richard Schumacher: So for today's meeting, we're going to start with a brief discussion of the 2022 second quarter results. And then I want to highlight some of the accomplishments, which there have been quite a few exciting accomplishments thus far in 2022, especially in the second quarter. And then we'll follow up by a general business update and then open up to everybody to have some questions. 
 So on the financial highlights, I want to first set the stage. I've said this last time, I've also said it on the annual call, I've also said it in writing several times, this is a different year than any year we've ever had. This is a year that when we started this year, I talked to all of the staff and said we're going to focus on Ultra Shear. It became very clear -- it's become very clear to us over the past couple of years as we've generated more and more data and get more and more excited about Ultra Shear technology. Talked to more people about it, went further with our partner, Ohio State University. And every step we went, it just got more and more exciting. 
 Pressure cycling technology is an amazing technology. It's what I started the company on. I still believe in it, we still believe in it. We have 250 customers all over the world with about 400 instruments. And just as an example, just in the past 2 months, 3 leading cancer groups, 1 in the U.S., 1 in Australia and 1 in China, have all published on some very exciting work that they're doing in the -- in different areas of cancer. And they all talked about using pressure cycling technology as their means of opening up the cells and getting to the -- those wonderful macro molecules that are inside that we need to study to learn more about the disease, to develop drugs and develop antibiotics and everything else, diagnostics that they help us fight these different diseases. 
 So we've had 3 amazing publications in the last 2 months that have come out that we were highlighted in as a sample prep choice that they used. So we still believe greatly in this, but it's a technology whose day has not yet come. I believe the day will come, but I don't think it's going to happen in the next couple of weeks, months or years because we are too darn excited about Ultra Shear Technology. So going into this year, we chatted as a company, and we put pressure cycling on to the back burner. We do everything we can to take care of our customers because they're very important to us and they spend time and money and they're using the instruments, but we're not doing much. John can talk a little bit about that as Head of Marketing and Sales later on, but we've put it on the back burner. 
 And BaroFold, our second technology, we've also -- we've got that on the middle burner. We certainly are paying a lot of attention to it. Its time also hasn't come. It also will have a time where it will come. It's going to be a big winner. But at this point in time, when you look at what we have generated in Ultra Shear over the last 5 years, particularly the last 2 years, it's so exciting that we've put these other 2 in the middle and back burn and said, we're going to focus our efforts all on Ultra Shear. So I'd say 95% of the company, we might have one FTE that's in --combined that's working in pressure cycling. Almost everybody else is working to better and more quickly move our Ultra Shear Technology forward. 
 John, do you want to add anything to that? 
John Hollister: Sorry about that. Yes, I would. And I'd stress the fact that we're moving from a historical business that is, you work very hard to get a sale and then there's only a small amount of recurring revenue that comes from that in the form of consumable products. But this model of UST is entirely different. And the enthusiasm around it, the number of markets that are available to us, where nanoemulsions are applicable, whether it's what we've been talking about more recently with the CBD markets, but we will soon be talking about other marketplaces, including cosmetics, food processing, pharmaceuticals, could be agrochemical businesses and frankly, a lot of chemical businesses but the number of markets -- but all of these represent recurring businesses. 
 So when we talk about the contracts that we have recently announced, while we talked about in the coming year and the revenues, [ those new to other companies ], what we actually mean is in that year plus the following year and the following year and in fact, with each of these customers, it's likely that you'll see additional products being launched from those, which we will just add to that base business. So extremely exciting for us. 
Richard Schumacher: So you can understand, I hope, why we've decided early this year going into 2022 that we were going to move pressure cycling technology and BaroFold to a certain extent, a little bit off the front burners. We still pay attention. We still talk to all of our customers. We still service them when they need it. But all of the new work and all of the efforts that we have going forward, pretty much 95% of them are related to Ultra Shear. 
 So with that background, I know that we were disappointed that we couldn't match last year's numbers in pressure cycling. But -- because that's most of our revenue up to now. But at the same time, we were very enthusiastic that we were able to come close to last year's numbers, that we're able to come close to $0.5 million for the quarter, which is generally a decent quarter for pressure cycling technology when we were paying such little attention or putting little effort into it to grow the business. 
 Again, we want this business to be solid. There's going to be a time where we're going to go back to it, and we're going to have the cash and the profitability to grow it, and it's going to grow. But in the meantime, it's all eyes and all hands on deck are for Ultra Shear. 
 So the revenue for the second quarter compared to second quarter of 2021. The revenue is down 18% from $609,000 to roughly $500,000. Our instrument sales were down 26% from $337,000 to $248,000. On the other hand, our consumable sales, which is very nice, increased 73% and that's nice because that is sitting on the shelf, and we can pull it off the shelf and ship it to our customers. And I think when these publications that came out in the last couple of months, and they were all publications, when they get read, we get phone calls from other people saying, hey, we want to do what they're doing. And so it starts with consumables going up. And then generally, it ends up with people wanting to buy additional instruments or a new instrument because they're just finding out about it. So we had a 73% increase in the sale of consumables.
 Our BaroFold business was flat, BaroFold and UST. Again, we don't do much business, did slightly over $100,000 on -- for both quarters. That's going to change. It's going to change dramatically. But we've been very clear going forward what we think the value of each of these contracts that we have signed. We've now signed 3 of them with the one we announced today. And we've been very clear that they're all worth, in our opinion, $1 million to $2 million a year. 
 As John pointed out, we haven't built in recurring revenue because we don't have a history to know whether it will take 6 months or 12 months to sell the product that we're contracted to make. But if it takes 6 months, and then our numbers are going to be low, if it takes 12 months, our numbers should be hopefully right on if we've judged the costing and the pricing correctly. So the BaroFold and particularly UST numbers will be much different in 2023 going forward. 
 The new agrochem, this remains very disappointing. There is -- we had no sales last year. We had no sales this year. There is still expectations. We're not putting a lot of effort into this at all, but we're putting enough effort because we do, as some people point out to me, in e-mails or phone calls, we do have a lot of inventory in our Reno, Nevada warehouse. We're very aware of it. I met -- I had a phone call with John and Ken Micciche, who is our new Director of Business Development, over the last few months, and we're meeting tomorrow. We have a couple of thoughts that could start moving some of this inventory, and we're going to chase some people that we know with it. So it's a little bit of a light at the end of the tunnel, but it has been a very big disappointment to us. 
 The operating loss for the quarter increased to 39% over last year. We had some single items last year that helped us out a lot but the operating loss was less than last quarter and less than about $1 million, which is what we normally see. So that is good news. 
 So the highlights -- look, we've -- they all have -- they all run around one theme, and that theme, as you guessed, is Ultra Shear. We go back to April 27. Long before I thought -- I thought going into this year, we were going to try to have something available to release by the fall of 2022 in terms of an early access program, but we were able to make enough progress by putting all hands on deck for Ultra Shear that we were able to announce on April 27 an early access program for Ultra Shear. 
 Remember, Ultra Shear is our patented. We now have 7 issued patents. Our patent did take a 2, by the way, in the U.S., 2 very important patents that will be very difficult. It's never impossible, so I'm told, for someone to get around patents, but it's going to make it difficult because of the -- these 2 patents that we have. And we have other patents that are marching their way through, and we'll file additional patents as we work more and more into Ultra Shear. 
 But we -- it is a method that we've developed. Our guys -- our brilliant guys have developed. Our engineers and scientists have developed. And it came from work we were doing by breaking open cells, pressure cycling technology and trying to extract DNA and segment or break DNA in specific links. And Dr. Ting, who is a wonderful history in the food and beverage industry and is a pioneer in bringing high pressure into that industry, which is now a $15 billion market, one day said, I wonder if this could work in the food and beverage area, and we looked into it. And sure enough, this clearly has a business -- has a place in the food and beverage, but it got much bigger than that. It got -- as we look more and more into it, we looked at pharmaceuticals, nutraceuticals. We looked at cosmetics and agrochemicals in addition to the food and beverage. 
 And they all have a need for what Ultra Shear can do. And the main thing that Ultra Shear can do to make it simple is that we can put oil and water and make it go into water and stay in water and reduce the size of the oil drops to such a small size that, first of all, the liquid becomes clear. And secondly, we spread the active ingredient, whatever it is, it could be a nutraceutical or like a CBD or THC or astaxanthin, an antioxidant, vitamin B3. It could be prednisone. It could be retinol in cosmetics. It could be any of these, and we've done them all so far, and we've published on them. 
 So we've taken the oil that -- large oil drops that contain all of these active ingredients and put it through our Ultra Shear process. And we've broken that oil down to such small levels that it no longer scatters light and light goes right through it. It's one good way to know you've got a nanoemulsion, you have 1 billion little nano-sized oil droplets, all containing just a handful of active ingredients, in that way the body can absorb them out very quickly. 
 So the things we know about nanoemulsions is, number one, is that it adds long-term stability to the product. Number two, it becomes very essentially water soluble, so it can be transported throughout the body. And number three is it generally becomes extremely bioavailable. So whatever that active ingredient is, is now very available to the biology of the body, whether it's human or animal or plant. 
 So we got very excited and we made such progress that we announced early access program. Just a couple of weeks later, we announced our first development manufacturing agreement with Safer Medical of Montana. Gentleman who was a helicopter pilot during the Vietnam War, and he's at age now that he wants to give back, and he knows -- he feels he knows what needs to be done, and he asked us to make a CBD product. 
 It didn't -- in our opinion, it didn't exist before. In fact, we firmly believe that there really aren't many, if any, true nanoemulsion products in CBD that are out there in the world right now. And if there are, we haven't seen them yet, and we continue to look and look and look commercially grade CBD nanoemulsion. So that's what we're going to be building. 
 So on May 4, we announced the Safer Medical deal, announced the worth we thought at least $1 million for next year. We'll use the rest of this year to do a couple of pilot runs, and we'll pay -- we'll charge for those. We'll make some money on those. But once the pilot runs are accepted, we'll go into next year with a very large run and that we expect that material to be sold next year. 
 June 14, we talked about Ultra Shear being very well positioned in the global $41 billion plant protein. It can't go anywhere. TV, radio, ads, without looking at the plant protein market, the plant protein average market is extremely large and growing very quickly. And there was a publication from Ohio State, our partner, that talked about the ability to extract proteins from peas. Peas are a wonderful use for protein -- for getting protein available, but they -- because they grow anywhere and everywhere, they're easy to grow, they're cheap to grow. The problem is that it's very hard to extract good plant protein out of peas, and they did using Ultra Shear Technology, Ohio State did. And so we talked about the positioning of our company in this huge $41 billion plant protein market, and it uses Ultra Shear to get those proteins out. 
 We announced the production -- launch of, we think, for about another $1 million for another group. This group is out of Colorado. So we announced that over in July. And in August, this month, we've announced -- we've had a couple of announcements. The first one was that we have very important one that we were able to get state approval. In the state of Massachusetts, you need to have a license to manufacture hemp-derived CBD products, and they only give those out once a year. We have a very close friend who has a license. And he was very happy to add our facility onto his license, so we can manufacture under his license. And that was done, and we were -- we met with the group and we were approved. 
 And then just a week later, which is just today, we announced that we signed a contract with Canopy CBD Farms, which is the group whose license we're under. We think it's worth about $2 million minimal, incremental revenue for 2023. And we've brought on John Westlake, who is the Founder and President of Canopy CBD Farms. He's an incredible human being. He's been in the business for years and years. He has a Rolodex, which those of us who are my age will understand what a Rolodex is, is a Rolodex that's second to none as far as I'm concerned in the cannabis field. And when we say cannabis, we're talking mainly now CBD. 
 And he's got all the licenses that we need to work under, and he's got the contacts. He's got the contacts and the dispensaries. He's got the sales and distribution channels all set up. He hasn't done much sales to date, but he said he's been waiting for the right product. He met us 1.5 years ago, and he's been waiting for us. And we've come of age, and he signed right on and now we're partners, and we're very excited. 
 John, can you add on to some? 
John Hollister: Yes. I just want to underscore. I think you did a really good job in reminding the listeners for those who are new, but also others because -- about what UST is, Ultra Shear Technology, because we often we're so immersed. We're inside of the forest and we get so comfortable with what we know is this really revolutionary technology, but we're improving existing molecules so that they are better absorbed in humans or in animals or in plants that are typically oil-based and truly absorbed. And we are changing them into these little, tiny particles that can be absorbed, so you can more predictably dose or deliver these active agents in a way that you have a higher probability that the consumer or that your dog or plants get the benefits you're expecting them to get. 
 Some of it is optical. As Ric was pointing out, we can change things that are typically not transparent. They're not -- they're translucent. When the particle gets so small and no longer reflect light, they become clear and you can actually put them in water, and they remain clear, which is attractive to some of the beverage companies when you're talking about an astaxanthin or another form of -- whether it's a vitamin that happens to be an oil like a B -- vitamin B2. You can also apply to the cannabinoids. 
 The same is true for going across the skin. Your skin is a great repellant for almost anything getting to it. What we can do with very small particles is deliver different medicines, things that will improve the subdermis or even go all the way into a systemic delivery of products. So the applications of this are really far reaching and exciting. 
 And we recently attended a couple of meetings, one in San Francisco, one in Chicago. This will happen to be cannabis-focused beverages. And we were basically mobbed by different companies looking for what we have because they know the potential benefit of being able to deliver what they're looking for in their different beverages, which they have been unable to find to date. 
 So it's just super exciting. And I know Ric, he changed our guidance for the balance of the year in terms of the growth in UST and no small part, it was the reception that we received from these customers. So with that, I'll return it to Ric. 
Richard Schumacher: So John, you remind me that -- we went -- I went to Chicago with a couple of our guys and John was in San Francisco with our Chairman, Jeff. And before we went, we were looking to see if we could maybe find 1/2 dozen contracts. We'd already had 2. And we thought, wow, we could probably get 6 by the end of the year. And after going, we put out that press release, which basically doubled it and said it's not 6. We think we can have 12. 
 We met with -- I went from booth to booth and met with a lot of people. And some -- many times, they were very receptive saying, no, we don't have a way of getting nanoemulsions. We appreciate learning about your system and hope it's not the same as what we've been seeing on the market and it isn't. And sometimes, we run into people who said, oh no, we don't -- we're all set. And then I pulled the nanoemulsion sample, I had in my pocket out and show it to them and they'd say, well, why don't we talk about this? So I just chuckle thinking they're all set, but as soon as they see the quality of what we have, then they said, no, let's talk about it. 
 So we certainly came back saying, okay, this looks like we could probably sign up 12 contracts. And the way we're doing this, we think each contract -- we said in one press release, I think the one last week, we said we think each contract, at least right now, they're all worth $1 million or more because we are going to be giving them the bulk material that they will then refine and vial and label and to sell either in bulk or in vials, and we're giving it to them ready, set, go. 
 They don't have to spend -- we've spent a year developing a couple of formulations. And it's -- we've learned from where do we start to -- my guys are quite expert now in developing these formulations. And I'm very proud to say that we've gone from one that was using some basic chemicals that other people use to where we're not using any of those chemicals anymore. It's completely plant-based. It's completely green, if you will. It is all natural. Everything in our nanoemulsion is natural. It's a -- the easier way to go would be to use some of these chemicals that have the ability to help the nanoemulsion stay stable and all but we didn't want to go that route. 
 We started out that route and we found replacements, and we're very happy with all of that. We've done a lot of testing, and we're very sure of what we have. So we are ready to go out and get more. And I can say right now that don't be surprised if we continue to announce contracts. And these are real contracts that we need to fulfill next year. We have a lot of work ahead of us to fulfill them, but these are real contracts and it's so exciting to see this turnaround from this very hard work that John and other people and Dr. Lazarev and Dr. Ting and whomever would have to do to try to sell an instrument and a lot of work. But once you got it, you've got an instrument in a major cancer center. It's going to do some good. 
 Ultra Shear is very, very different. It's -- the sale of -- the dollar amount is tremendously more significant than it is in PCT. The recurring revenue is tremendously more than it is in PCT. And it's doing good. We are developing a way for us humans and on our animal friends and our plants to be able to better absorb and make more bioavailable the drugs and the nutraceuticals and the things that we need. 
 So it's -- we're doing good and -- but it's a lot faster to get to where we want to go. So with that, Matthew, I want to turn it over to you and see if there happen to be any questions. 
Operator: [Operator Instructions] Your first question is coming from Gary Zwetchkenbaum from Plum Tree Consulting. 
Gary Zwetchkenbaum: Congratulations, Ric, John and Ken, on today's contract with Canopy CBD Farms and John Westlake. You estimate $2 million in incremental revenue for 2023. As a long-term PBIO investor, we're all looking for increased recurring revenues and increased margins. How did these recent nanoemulsion sales impact revenues and margins over the coming months and quarters? 
Richard Schumacher: Well, Gary, there's no sales yet. You said how the -- you're asking how will they impact? 
Gary Zwetchkenbaum: Yes. 
Richard Schumacher: Our sales and our margins. The margins are delighted. They're incredible. They're very, very good. When you have what might be best-in-class globally and people need it and you feel a need, you fix a problem, you can ask for a good margin and Ken will get it. We may not be there 2 years or 5 years or 10 years from now. But right now, we are very excited because we know there's a huge problem in a lot of areas that we can fix with Ultra Shear Technology. 
 So the margins are terrific right now. And we are -- the revenue should also be terrific because customers don't buy -- they buy one machine and they buy a couple of hundred consumables to run their experiment. But in the case -- and that's for PCT. But in the case of Ultra Shear, they're not buying an instrument. We're not selling the instrument. We are -- we're setting up a tolling system where we will have a facility here. We're building it out here in Easton, Mass, and we're also going to be building one out in California, in the laboratory space of our Chairman, Jeff Peterson, because a lot of this needs to be done. It'll be a lot easier to be done on East Coast, West Coast rather than doing everything here. 
 So the margins are terrific. The volumes that we should be doing would be very big. When we look to try to get a $50,000 or $70,000 purchase order from PCT, you can put a 0 on the back of that and someday maybe even 2 0s on the back of that. And I'm not talking per year, I'm talking per month, so in the future. So right now, we think that the -- we're looking at people and groups that are looking at maybe giving us $1 million or $2 million a year of business. But I think I look forward to the day when that doesn't take us a year to get to that 7 figures. 
Gary Zwetchkenbaum: Ric, what's exciting is that you recently announced 3 or 4 deals. You were at recent conferences and you said at recent meetings that you had a number of customers, you talked about having another 6 or 7 or more by the end of the year. You mentioned that these are million-dollar sales, and we're talking recurring revenue. So this could change the platform and what we're looking at increased margins and recurring revenues, this is very exciting. I look forward to hearing about more. 
Richard Schumacher: So Gary, I will add one more thing. We've -- I guess some people say we went out on the limb. We did something our lawyers don't like. We said -- we absolutely firmly believe that we will be getting into the black by the end of next year. We think in 1 year of releasing this by the end of next year, we should have a profitable fourth quarter, and we should be running well into the black going into 2024. 
 This is an amazing technology. We've got a wonderful chance to change our stars here, and we're going to take advantage of it. We're taking everybody, everybody's bought into it. And it's exciting every week when our guys in the lab come back and say, hey, look at these data. We just did something. We just did curcumin. Wow, curcumin. A lot of people take curcumin. And a lot of people don't get a lot of it out of what they're taking. But they will in the future when they buy one that's processed by UST. 
Gary Zwetchkenbaum: That's a very exciting partnership that you announced today with Canopy CBD farms. And I'm looking forward to seeing the results of that going forward. 
Richard Schumacher: John Westlake, I've known him for 1.5 years. He is an amazing human being. He has an amazing list of contacts. I mean not talking in the hundreds. He has already got things set up on his sales and distribution channels so that once we start making the product, it's going to go out the door, and it's going to go out as bulk material for other people that want to white label or do it -- do -- use it for their own products. It's going to go out in vials for people that want to buy it in vials. John has got it under control. We're very lucky to have a partner like John Westlake. 
Operator: [Operator Instructions] Your next question is coming from Tony Fitzgerald from Axiom Capital. 
Anthony Fitzgerald: Ric, good job on the call. I was intrigued by your description of the transdermal delivery mechanism that UST can produce. And I wondered if you'd had any scientific or academic studies that could make a claim as to bioavailability of products based on -- that have been processed using UST? 
Richard Schumacher: So we understand -- we're scientists, most of us here. So we understand the importance of data. We can point to a hundred places in literature just in the last year, probably, maybe even more, where it shows that by nature nanoemulsions are more stable, more -- essentially more water soluble and more bioavailable, therefore. But Tony, it's a great question. And without getting into any specifics, John and I and others have talked and we understand the importance of data. So we're certainly moving that up in our minds to a high priority for this year to try to generate data, to work with people to generate data along those lines. So I'll leave it at that. But -- it is -- it hasn't fallen on deaf ears. 
 John, do you want to add anything? You've done bioavailable studies in a number of companies that you've been in. 
John Hollister: Yes. So Tony, thank you for the question and, Ric, for the opportunity. So my background is in pharmaceuticals predominantly, and so I'm very used to having to present to, particularly, the FDA information about how your product works. And we are totally committed to being able to demonstrate how our product performs from a bioavailability perspective, whether it's orally or whether it's transdermally. 
 So expect us to perform in that area. We unfortunately don't have the data today because we're very new at this, but we're now at a place where, hopefully, before very long, we'll be able to answer questions like the one you present. We're confident that our product and our process is so consistent and we can dial in particle size. We know from lots of publications that if we have particle sizes of sizes that we're able to get to, that we will be able to demonstrate [ cause ] of the dermis crossing the buckle absorption areas. Actually even [ lateral ] absorption will be improved. Just because of the nature of being such small particles actually intraocular, intranasally, there are a lot of different ways that we can imagine products in the marketplace being delivered in a better way than they're being delivered today. 
Operator: Your next question is coming from Mitchell Saranow from Saranow Group. 
Mitchell Saranow: Ric, congratulations. It's been 20 years. This is remarkable news. And I think you said you're going through [ missions ] And I think I've been a shareholder for, I don't know, 20 years, and I'm very impressed with your technology. And finally, you've hit a button, I wanted to say, bingo. We'll be talking. Bye, now. 
Richard Schumacher: So I should tell the listeners. Mitch is a -- he's a -- we went to school in Boston. The Chairman gets upset, but Mitch is a Harvard guy. Jeff is an MIT guy. But Mitch has been supportive over the years. He's been invested in a couple of my companies. I think as he said, going back 20 years, and he's been very patient. And very -- which I greatly appreciate, Mitch, your patience because over the years, you've been -- sometimes we went without talking for much for a year and sometimes we talk every month. But he's been very patient. 
 And when I called him earlier this year and said, we're going to introduce our technology commercially with an early access program. He said that's great. That's unbelievable. And then when I called him and said, we're going hog-wild in the UST, putting everything in the UST. And we've just signed a couple of contracts. He said, bingo. So I'll always remember that. So Mitch, thank you for everything you've done and what you're going to do in the future for us. 
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to Richard Schumacher, President and CEO of Pressure BioSciences, for closing remarks. Please go ahead. 
Richard Schumacher: Thanks, Matthew, and I'll throw it to you, John. You've got the football. Anything you'd like to say before we hop off? 
John Hollister: I just think we can't just stress enough how exciting a time this is. I look to the next few months of 2022 as a time when we are doing our alpha testing and beta testing on some sample runs and some -- all commercial, and we will be generating revenues. But 2023 is going to be a very, very exciting year for us. And it will be underscored by the letters UST. So thanks for listening in today. 
Richard Schumacher: John, thanks for coming on, and thanks to everybody that's on the phone call. I just -- to just underscore what John just said, it's just -- it's so exciting. It's a bit nerve-racking because as anybody on the call knows when there's -- when everything is running really nice and smooth, it gets a little boring, but at least, it's running nice and smooth. That's not what we have here. Not at all. We're on to something very, very big in our opinion. We're very -- the biggest thing this company has ever had.
 I've personally started 4 companies, 4 public companies, 6 or 7 companies. And in my life, looking back, I've had one other occasion where the company I started, we hit something big. And in a matter of a year or 2, we went from pennies to $12 a share, which meant we went from worth $1 million or $2 million to being worth $750 million, almost $1 billion. That was very exciting, and that happened over the course of about a year. 
 I would say this is equally as exciting because I know what can come around the corner. Having done it once before or had one big hit before like this, $1 billion hit. I'm not saying this is a $1 billion technology, but I will say, we think it is a $1 billion technology. We're very excited about it. Our problem is to decide what do we want to do first, what do we want to do second. But then we have to build the infrastructure, which we're doing. We have to build the team, which we're doing. We have to build the instrumentation, which we're doing, and we have to go find the customers. 
 And I don't mean this to be a slight, but that's the least difficult thing that we have to do because there's a need, and we can answer it. So finding the customers is not the problem. Building the infrastructure and everything to take care of the customers that are going to come is the nervous, scary thing because we don't want to blow it. We know there's a big need for us out there, and we need to manage that need so that we don't get ahead of ourselves. 
 So it's exciting, but everybody that's on my team has pretty much done it before. John's personally done it as CEO and founder of different companies and working for billion-dollar companies. I've done it myself multiple times. Others have done it. Jeff Peterson and Ken Micciche and even our scientists have seen it like Dr. Ting and Dr. Lazarev has seen their technologies go from nascent underappreciated technology to where they're like, wow, look at what this has. 
 So it's all coming together. It's exciting. I look forward to our next call, which is going to be in the middle of November. And I thank everybody again for your patience and ask for your patience a little bit longer and just spread the word because this company is starting to open up its wings and we're going to -- we think we're going to really fly in the next few weeks and months. And don't be surprised if you keep hearing some news like you heard today because we have a lot of people that we're talking to. 
 And I got to tell you, some of them are start-ups, many of them are well-funded start-ups, but we're also talking to a company that's a $5 billion company. We're talking to a company that's a $40 billion company. Our partner in Ohio State, I can't go into names, but I can tell you that I got an e-mail last week from Dr. Bala, who said in the last 2 or 3 weeks, we've had X, Y and Z. They're all multibillion-dollar well-known food and beverage companies that have come to visit Ohio State to see what we have. One has signed an NDA to learn more. One is about to sign an NDA and one of them invited Dr. Bala to their place to present. And that's, we think, just the beginning. So thanks again, everybody. We'll talk to you mid-November. 
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.